Operator: Good day, and thank you for standing by. Welcome to Seer First Quarter 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session [Operator Instructions].  I would now like to hand the conference over to your speaker, Carrie Mendivil with Investor Relations.
Carrie Mendivil: Thank you. Earlier today, Seer released financial results for the quarter ending March 31, 2021. If you have not received this news release or if you'd like to be added to the company's distribution list, please send an email to investor@seer.bio. Joining me today from Seer is Omid Farokhzad, Chairman, Chief Executive Officer and Founder; Omead Ostadan, President and Chief Operating Officer; and David Horn, Chief Financial Officer. Before we begin, I'd like to remind you that management will make statements during this call that are forward-looking statements within the meaning of federal securities laws. These statements involve material risks and uncertainties that could cause actual results or events to materially differ from those anticipated. Additional information regarding these risks and uncertainties appears in the section entitled forward-looking statements in the press release Seer issued today. For a more complete listing of this description, please see the Risk Factors section in the company's quarterly report on Form 10-Q for the quarter ending March 31, 2021 and in its other filings with the Securities and Exchange Commission. Except as required by law, Seer disclaims any intention or obligation to update or revise any financial projects or forward-looking statements whether because of new information, future events or otherwise. This conference call contains time sensitive information that is accurate only as of the live broadcast, May 10, 2021. With that I'd like to turn the call to Omid.
Omid Farokhzad: Thanks, Carrie. We're making strong progress across all areas of our business and business strategy, adding to our talented team, expanding our commercial reach and broadening access to the Proteograph Product Suite. We're enabling more researchers to undertake proteomic studies that will not only drive novel biological insights, create and expand new markets and ultimately improve human health. To further drive this momentum, we continue to be focused on four areas: first, setting the pace for innovation in the proteomics space; second, leveraging the unique capabilities of our differentiated solutions; third, coupling exceptional customer experience with transformative products; and fourth, forming strategic relationships with key customers and partners. And of course, most importantly, the foundation for all of this is predicated on continuing to grow an incredibly talented team. Since we last updated you at the end of March, we have continued to build on our strong start to the year. Demand for the Proteograph Product Suite is exceptionally strong, and our value proposition is resonating with prospective customers across the globe. We expect our message to amplify even more as we ramp up on marketing activities and scale our commercial organization. Even with this strong market demand, we remain committed to a measured commercial approach, and you will hear more about this from Omead. With all full collaboration customers up and running, we have commenced limited release by signing multiple customers since our last earnings call. We expect to have high single digit number of limited release customers before we commence broad release, and we're on track to deliver against this objective. These initial limited release customers also include PrognomIQ, which we spun out last fall and retained 19% ownership. PrognomIQ will be using the Proteograph Product Suite for liquid biopsies across a range of applications, including early disease detection and proteogenomics. We believe PrognomIQ can play a key role in demonstrating the impact of unbiased and deep plasma proteomics in these applications, accelerating the realization of a market opportunity that we already believe to be very large. Our goal is to create an ecosystem around our technology and its broad use in proteomics and proteogenomics. This is a critical part of our strategy. Our partnership with the leading mass spec companies, our three phased commercial approach and our spin out of PrognomIQ are all evidence of this strategy in action. We believe this will set us up long term success and broad scale adoption of our Proteograph Product Suite. It is clear that customers are eager to perform studies using unbiased deep plasma proteomics at scale and early customer data is providing strong evidence of the depth and breadth of proteomic access that can be generated easily from our platform. Both OHSU Knight Cancer Institute and the Broad have completed their initial evaluation studies, which demonstrated encouraging results. They are progressing towards the next set of larger scale studies, in particular, OHSU's initial pilot has spurred plans for several large scale projects, including one looking at proteomic signatures of prostate cancer. Again, Omead will give you more color on this shortly. Discovery Life Sciences is already preparing to run samples for large scale proteogenomic projects in a complex disease, which is one of the use cases uniquely enabled by our technology. The Salk Institute, our fourth collaboration site, has received their instrument and we have already completed installation. They will be up and running with samples in the coming weeks. We expect you will begin to hear more from each of these collaboration customers as their studies progress, and they're in a position to share the experiences and results through presentations or publications. We continued to strengthen our leadership team, welcoming Kenny Ross as our new Vice President for operations and quality. Kenny brings with him over 30 years of experience in operations and quality in life sciences, having previously held senior leadership roles at Applied Biosystems, life technologies and most recently, Illumina, where he served as Vice President, manufacturing strategy. And finally, we doubled our Redwood City footprint to support our growing organization, expanding our lead to a total of 50,000 square feet of state of the art office and research space. There continues to be a growing enthusiasm and energy in the proteomics space, and what we're doing at Seer is truly differentiated. We are developing innovative solutions to empower the scientific community to arrive at exceptional proteomic outcomes. We have developed the Proteograph Product Suite, a first of its kind solution, leveraging our proprietary nanoparticle technology to enable unbiased deep proteomics at scale, eliminating the needs for scientists to make the trade offs between depth of coverage and scale when designing their unbiased proteograph studies. Our solution is the only available state of the art technology to deliver peptide and amino acid level resolution, which is necessary to match nucleotide level genomics information and broadly enable proteogenomics. The proteograph has been designed to fit in front of nearly any detector, making it easy for those who are adding proteomics to their studies to easily integrate it into their workflow. The proteograph allows nearly any lab to undertake these studies in a way that is not possible today without trade offs. And through these capabilities, we expect our solution will enable population field studies that will enrich biological data sets and enhance the number of biomarkers and drug targets, and we believe the overall impact on human health will be enormous. We are very much at the onset of this journey to transform accessibility of the proteome by finally eliminating the longstanding technology barrier that has prevented researchers from tapping into this rich critical source of biological information. And while much work remains, we're excited and inspired by the opportunity that lays in front of us. With that, I will now turn the call over to Omead for more detail on our commercial progress.
Omead Ostadan: Thanks, Omid. There is increasing enthusiasm and evidence that we are on the right path and that our current and future offerings have the potential to play a significant role in advancing our understanding of biology. We are seeing and sensing this in our ongoing interactions with our customers, our discussions with prospective customers and the early peaks at data coming from a growing list of studies using our Proteograph Product Suite. The response we're getting from our expanding engagements are reaffirming our belief that we have the right strategy, the right product and the right value proposition. We believe the continued progress of our collaboration customers will provide clear examples of the unique and differentiated value of the Proteograph Product Suite. All four of our collaboration customers now have their Proteograph Product Suite installed, and in fact three of these sites are already on the verge of or in the midst of larger scale studies. One such example is OHSU Knight Cancer Institute, the first site to receive a Proteograph Product Suite. Recently, Dr. Mark Flurry and his colleague at OHSU Knight Cancer Institute completed a pilot study looking at prostate cancer. The aim of this study was to demonstrate that the Proteograph Product Suite can be used to power large-scale and deep plasma proteomics across a range of applications, including the early detection of cancer. Dr. Flurry and colleagues were able to demonstrate that the Proteograph Product Suite not only enables a far more efficient and scalable approach to plasma proteomics, but it does so while covering previously known proteins and a number of potentially novel protein biomarker candidates that have not previously been associated with prostate cancer. With the findings of this pilot study, Dr. Flurry and colleagues are moving forward to implement a larger study of 500 to 1,000 samples, opening up a whole new set of possibilities. We are thrilled about the progress Dr. Flurry and his team are making with the proteograph. Truly, everything we're doing at Seer is done with the aim of delivering exceptional customer experience that enables our customers to realize their scientific vision. Market response for access to the proteograph has exceeded my already high expectations coming into this year. The value proposition of the Proteograph Product Suite is resonating with prospective customers, and people are highly interested to access this transformative technology. However, as Omid stated, we remain committed to our phased approach as we believe this is the best way to commercialize a first of its kind product, both for near and long term success. To that end, we have officially moved into the second phase of commercialization and now have agreements in place with multiple limited release customers, among them PrognomIQ. We expect to add other limited release customers throughout the coming weeks and months to reach our target of high single digits of customers for this phase of our commercialization. We believe this is the best path for developing the right customer relationships, the right proof points and most importantly, the right trajectory for current and future growth. These relationships will enhance our ability to rapidly develop applications, open up approaches that create markets and drive the next phase of adoption. We are very focused on partnering with customers who are driven to leverage the potential of the Proteograph Product Suite to accelerate the realization of their scientific vision. Each limited release customer must have a shared vision of disruptive power of unbiased deep proteomics at scale to unleash novel biological insights, access to large sample cohorts, infrastructure and know how to efficiently scale projects, commitment to rapidly undertake large scale exemplary studies and share aspects of their findings and willingness to collaborate deeply to serve as a lighthouse account and to help other scale. We are excited for our limited release customers to get up and running and to demonstrate power and utility of the Proteograph Product Suite across a wide range of applications, including oncology, complex diseases, therapeutics and more. We will work closely with our limited release customers and leverage their success and experience to broaden and accelerate adoption. Many of our limited release customers will likely serve as strong reference sites, and their experience will provide clear blueprints that others can follow to have similarly successful experiences in adopting the Proteograph Product Suite. To address the broader near term demand for access to the Proteograph Product Suite, we are prioritizing setting up select limited release customers as centers of excellence. These centers of excellence will offer end to end unbiased the plasma proteomic services using the Proteograph Product Suite. In the process, providing researchers and entities globally access to Seer technology in advance of broader release. Through these partnerships, we will demonstrate the scaled uses of proteograph across an ever expanding range of applications and customers, enable more and more research to access our technology and see the power and impact it can deliver to their research. We continue to scale our commercial efforts, building the team, infrastructure and partnerships that will expand our reach and allow us to serve our customer base around the world. Over the past few months, we have added a number of highly talented individuals across marketing, sales and support. We are prioritizing the customer experience by implementing foundational commercial tools that will allow us to seamlessly and efficiently launch, install and support customers as we scale globally. We are also deepening our interactions with our mass spec partners to continue to develop the market and facilitate adoption, especially among new to proteomics customers. Overall, I'm extremely encouraged by our commercial progress and look forward to continuing to work with our growing group of customers to demonstrate the unique capabilities of the proteograph for a wide range of applications. We have much to do and we will remain intensely focused on the tasks ahead of us, so that we can truly deliver on promise of this transformational technology. With that, I will now turn the call over to David for more details around our financials.
David Horn: Thanks, Omead. Total revenue for the first quarter of 2021 was $62,000 compared to $177,000 in the first quarter of 2020. The decrease was due to less activity associated with our small business innovation research grant from the NIH. As a reminder, all of our revenue to date has been generated from grant funded activities and research collaborations with biopharma companies. We expect to begin to recognize revenue from product sales in the second quarter. Total operating expenses for the first quarter of 2021 were $16.6 million compared to $6 million in the first quarter of 2020. Research and development expenses for the first quarter of 2021 were $6.2 million compared to $4.2 million in the first quarter of 2020. The increase in R&D expenses was primarily driven by an increase in product development efforts related to our Proteograph Product Suite, including increased compensation costs and other related expenses with the hiring of additional R&D personnel. Selling, general and administrative expenses for the first quarter of 2021 were $10.3 million compared to $1.8 million in the first quarter of 2020. The increase in SG&A expenses was primarily driven by increased employee compensation costs and other related expenses to being a publicly traded company. Net loss for the first quarter was $16.4 million compared to $5.5 million in the first quarter of 2020. We ended the first quarter 2021 with approximately $531 million in cash, cash equivalents and investments. This amount includes approximately $103 million in net proceeds from our follow-on offering, which closed in February of 2021. As we work to realize our vision of providing novel biological insights that will lead to new discoveries and ultimately improve human health, we will significantly increase our investment to grow and scale the company. In 2021, we are focusing our investments on building our commercial organization, broadening our reach and providing an exemplary customer experience for our current and future customers. We're exploring new areas of research to explore the power of our Proteograph Product Suite and its unique capabilities, continuing to build our product pipeline and scaling our operational capabilities ahead of broad release. Finally, we are expanding our intellectual property portfolio through continued innovation and advancements in our products and technology. At this point, I would like to turn the call back to Omid for closing comments.
Omid Farokhzad: Thanks, David. I could not be more excited about what's ahead for Seer. Unbiased deep rapid proteomics at scale will pave the way for broad scale and novel biologic insight with incredible impact across science and medicine. I'm so incredibly proud of and amazed by our team and the progress we have made this quarter. We look forward to continuing to build our commercial momentum throughout 2021, as we bring the next phase of omics to the labs all around the globe. With that, we will now open it up to questions.
Operator: [Operator Instructions] Our first question is from Tejas Savant with Morgan Stanley.
Tejas Savant: Omid, just one opening question for you on the collaboration customers you now have. Can you just shed some light on what have been the key learnings for you so far that you hope to leverage going forward here, not just into limited release but also the broader commercial rollout? Perhaps some pain points that you've ironed out or the way you train those customers, any key learnings there?
Omid Farokhzad: Just for a second, we're clarifying which [Omead], although, I knew which one you were talking to here, Tejas, on that question. So really good question. And so I would put it in a couple of different buckets briefly. In terms of things that -- you talked about pain point, nothing outside of the ordinary, quite frankly. I mean, what we run into would be some of the stuff that you would expect, the very first time you ship a product and install as a customer, making sure that you're clear on, for example, your site prep requirements, making sure that you've got all the things that you need for installation and so on and so forth. So installations have by enlarge gone fairly smoothly, nothing out of the ordinary. And in fact, what we've seen is that as we've done more and more of these installations, the time for every install has come down, which is exactly what you want to see. So that puts us on the right trajectory for being able to go to limited release and be able to build on it. And in terms of the engagements with the collaboration customers, I suppose, as we talked about it in our earnings, again, the early data is looking very positive and promising, and as our collaborators are encouraged by it, and so that all of that is reaffirming to me that the product that we have is going to be able to continue to deliver unique value to the customers. So hopefully that answered your question.
Tejas Savant: And then one for the other Omead. So now that you’re a few months into limited early release, Omead. You mentioned signing multiple sort of agreements with customers, you’re including PrognomIQ. Can you quantify how many customers and then perhaps shed some color on how that order funnel is shaping up? I believe you mentioned sort of one to two installs across six customer segments in the past. And then on a related note, if you can update us on your conversations around setting up those centers of excellence in the reference sites, that will be terrific as well.
Omead Ostadan: Let me break it up into bunch of parts. So the first is that as we said we’re going to have upwards of high single digit number of limited release sites. And there’s been a tremendous amount of demand. We aren’t going to be identifying names going forward in terms of the customers we signed. Suffice it to say that we have signed some in the limited release and PrognomIQ is actually one of them. Some of these limited release sites going forward are going to be become centers of excellence for us. And I think, think of it Tejas in that it’s a temporarily required solution because of just the high level of demand that we’re seeing in terms of players, many of whom are actually not even proteomics folks, these are people who play with large scale omics data. They just don’t have the capabilities. They want access to large scale proteomics. And our centers of excellence will actually give these guys an opportunity to get to the level of information that they need over the coming time until they build their infrastructure and actually have proteographs or detector install for their own sites. So Omid, was there anything else that -- Tejas, was there anything else in your question that I did not answer?
Tejas Savant: No, I think that covers. And then one for David, on the OpEx. Should we still be thinking of a $50 million target for OpEx, David, outside of stock comp? And anything you can comment on the cadence through the year-over-year?
David Horn: As we've said in the past, we're not giving guidance either on revenue or on OpEx. I do think we still see a lot of significant opportunities for investment, both on the commercial side and the R&D side. So we have said that, obviously, that investment will increase this year. But again, we are being disciplined about how we go about that in the areas we invest, such that we will generate a good return over the long term for those areas.
Operator: Our next question comes from Derik De Bruin with Bank of America.
Derik De Bruin: Just a bigger picture question, I think, to start with. It's like given the growing number of proteomic companies that are going public, emerging from stealth. Are you seeing a similar increase in funding for proteomics? And also, could you sort of like gauge your interest at this point from pharma and biotech, or is it still too early?
Omid Farokhzad: I think we're just way too early in this game for me to give you clarity. Remember, these companies that you're mentioning that are all coming public, this is all happening in just the last three or four months. So I think it's a bit early to see how that movie plays out. I can tell you that proteomics has obviously been around for a long time. The value of proteomics is clear to scientists that do this. The magnitude of what is now becoming possible in terms of deep unbiased proteomic at large scale is something that's going to play out over the coming months and years. And frankly, as you think of academic grant cycles and from the time you submit the grant until funding starts, I mean, these are not in the order of weeks, they're typically in the order of many, many months. So I think any change in grant funding, I think you're going to have to give it more time to see that. But what we're seeing is that there's a high degree of demand. Frankly, we had expected it. It's actually nice to see that it exceeds our own expectation in terms of interest in deep unbiased proteomics. And specifically, plasma proteomics is an area of interest to a lot of the customers that we’re talking to.
Derik De Bruin: Just one follow-up on that. So your first releases of 5 nanoparticle set. Have you sort of found when you were sort of looking at those particles and what they cover? Are there certain parts of the plasma proteom that maybe or underrepresented and so that you need to add incremental particles on it? I'm just sort of wondering now as you've had it now you've gone much deeper and across different customers, if there's any sort of like nuances you're noticing that you might need to expand or change the current offering?
Omid Farokhzad: Derek, let me say the following. Because obviously, we have a tremendous amount of experience with the use of that panel and those particles with our own samples, we know what we see and the implication of the content, the proteomic content that we get. What is super exciting for me is when I hear feedback from Omead about the emergence of data from our customers, let me turn it to Omead, who may be able to give you some indication of the kind of content that is being generated and the enthusiasm around that. Omead?
Omead Ostadan: So I think coming into this year, it was really clear for us that there was a need for a product that could enable unbiased and deep plasma proteomics at the scale that we are enabling in the order of protein groups that we're talking about, and that is playing out the way we expected to. So as customers are starting to generate more and more data. And again, I want to just temperate, this is early. We need to generate larger data sets. What we're finding from them is that this is a really enabling technology that's giving them the ability to be able to dive deeply and broadly into proteome, in particular, at scale, in terms of the number of samples. So you got to -- the way I'm starting to -- and I'm learning this, again, coming from the genomics side of it is really as I kind of think about it, as they scale the sample size, the ability to be able to increase the total number of proteins that one can identify across a growing project size using our technology is massively powerful and something that, quite frankly, they haven't been able to do not with this level of ease. And so why do I say that? Because what that brings us back to is that this product, as it exists, is an awfully enabling product that is going to give us access to a very substantial opportunity that is in front of us for the coming years. That doesn't mean we're not going to have other products, so we're not going to have other product additions. But this product on to itself is extremely powerful, enables customers to be able to go to depth and breadth that they just flat out can't and especially as you look at increasing sample sizes being able to catalog an increasing number of protein and peptide variants that just flat out is impossible. So just with the 5 nanoparticles, I think we're going to be able to go very, very long ways enabling customers. And as we've talked to you all previously, you can expect that we're going to have a continuing stream of products that are going to only enhance our market opportunities moving forward. But the 5, as they exist from what we are hearing, are doing what they're supposed to do and more.
Operator: [Operator Instructions] Our next question is from Tycho Peterson with JPMorgan.
Unidentified Analyst: This is Casey on for Tycho. How quickly do you expect the typical customer to scale up their studies, and where do you think cost per sample needs to go for customers to effectively scale up? And then as a follow-up to that, how does that cost per sample compare with existing targeted proteomics?
Omid Farokhzad: I mean, we obviously have experienced with just a limited number of customers and our first customer, Oregon, has reached this stage that you're kind of referring to. Let me have maybe, Omead, let me give you a little bit of additional color in terms of the size of the studies and their viewpoint about the costs associated with it. Omead?
Omead Ostadan: So again, as Omid said, it's early. But our expectation is -- and this is drawing a lot from my perspective on how I saw some of these things play out with product initially in genomics. The first few months, let's just say, roughly about a quarter or so customers are getting their arms around the technology, getting familiar with it, doing pilot, and we've seen it sort of play out that way at OHSU, to begin with, and others. And then what you see is that sort of just following the next three month period is when they start to begin to scale the next set of their projects and that typically plays out somewhere in the order of a couple of quarters. And then beyond that, you begin to see them be able to really now take that next inflection point. That's, again, drawing a lot from genomics. I have no reason to expect it's going to play out differently here, largely because all of this is driven as a function of overall power, sample size, the way you think about studies and scaling it. So that's the rough cadence that we're expecting customers to follow through. Now in the case of some of our limited release customers, remember, we talked about this in our earnings call, we are focusing on customers who can operate at scale and who have a clear scientific vision and so that we can actually, as much as possible, see these customers in action sooner rather than later. In terms of price per sample, I'll put it in this context. So we think the value that we're actually delivering with these products, at these price points, are really quite substantial and far better than what any customer can get today trying to use alternative means of doing deep and unbiased plasma proteomics, which involves depletion and fractionation. So even discounting for the cost of time, the value of labor and all the rest of it, the overall price per protein group, if you will, that we're delivering to customers is far better than any alternative that's available to them. And to date, we have not had a single customer interaction, particularly in the context of limited release, where the issue of price per sample has been a concerning point for them. So I don't expect it to be a limitation in driving upscale. And also keep in mind, the price points that we're talking about are the price points that, again, in genomics, people are routinely paying to do large scale genome studies. So for the right biological value that you deliver and especially if you're uniquely enabling a particular avenue of investigation, I haven't found these price points to be a problem, either in genomics and certainly not so far in plasma proteomics.
Unidentified Analyst: And maybe just one last one. Can you talk about the thought process around choosing the number of limited release customers here during Phase 2? How do you plan to balance the number and pace of publications along with the depth of early customer engagement?
Omead Ostadan: All of this went into the overall strategy coming into this year, which is why we we've approached it four collaboration customers, and then you layer on top of that high single digits of limited release customers, we believe, are going to put us in a position to be able to have the right balance of customer critical mass. And what's more important than sheer number is the type of customer, the type of experiment that they're going to do and their willingness and quite frankly, the credibility to stand up and deliver that data. And so we're being very thoughtful in not only the number of customers, but the type of customers and the engagements because exactly to your point, so much of this is about making it very clear broadly that this technology platform has a unique and differentiated value proposition that can absolutely be realized in the context of large scale unbiased and deep proteomics, this has to be done in the context of several customers speaking about it, which is why we're very much focused on having the right type of partnerships in limited release to couple with the right type of partnerships we have in collaboration so that we have these substantial proof points coming out. Because again, it's not so much the number of the customers, it's what do those customers do and how fast they move. So I feel very good that we are going to be able to strike that right balance. Between the customer number and pace of publication and proof points coming out.
Operator: And this concludes our Q&A session and program for today. Thank you for your participation, and you may now disconnect.